Operator: Welcome to the Hanmi Financial Corporation’s 2008 first quarter results conference call. (Operator Instructions) This call may contain forward-looking statements, which are made under the SEC’s Safe Harbor rules for forward-looking statements. Forward-looking statements relate to the company’s future operations, prospects, and businesses and are identified by words such as may, will, should, could, expects, plans, intends, anticipate, believes, estimates, predicts, potential or continue or the negative of such terms. Although we believe that expectations reflected in the forward-looking statements are reasonable based upon our clients judgment, we cannot guarantee future results, levels of activity, performance, or achievement. These statements involve known and unknown risks, uncertainties, and other factors that may cause our actual results, levels of activity, performance or achievements to differ from those expressed or implied by the forward-looking statements. Such statements are subject to risks and uncertainties, many of which are difficult to predict and generally beyond the control of Hanmi Financial. Accordingly, actual results may differ materially from those expressed in, implied or projected by the forward-looking information and statement. Hanmi undertakes no obligation to update any forward-looking statements in the future. For additional information on factors that could cause actual results to differ materially from those anticipated results or expectations expressed in the forward-looking statements, please see the company’s filings with the SEC. Representing the company today are Chung Hoon Youk, Hanmi’s Chief Credit Officer and Interim Chief Executive Officer; and Brian Cho, Executive Vice President and Chief Financial Officer. I will now turn the call over to Mr. Youk.
Chung Hoon Youk: Good afternoon and thank you for joining us today for a discussion of our 2008 first quarter results, with me is Brian Cho, our Chief Financial Officer. This morning we reported that first quarter 2008 net income was $2.9 million or $0.06 per diluted share. This compares to net income of $13 million or $0.26 per diluted share in the first quarter of 2007 and a net loss of $100 million or $2.15 per share in the prior quarter. You will remember that the prior quarter included non-cash goodwill impairment charge of almost $103 million. Two factors above all adversely affected first quarter financial performance. They were also major contributors to last quarter’s disappointing results. The first is the continuing competition for deposits that is coming from Korean American and other ethnic banks. This has been aggravated by the Federal Reserve Bank’s lowering of the short-term interest rate by a total of 200 basis points during the quarter. The result has been a further deterioration in net interest income before provision for credit losses to $34.2 million from $37.6 million in the prior quarter. The decline in net interest income led to a deterioration in net interest margin to 3.73% from 4.06% in the first quarter of 2007. Given the absolute level of the current rate, as well as growing concerns regarding inflation, we do not expect to see any further significant cuts in short term rate. But given the fragile economy, we do not expect to see any near term tightening by the Fed either. And we do not get any evidence of a more rational pricing of deposits in the markets we serve. We expect to experience continued pressure on margins during the current quarter. The other notable factor affecting first quarter financial results is the provision for credit losses. Although lower than in the preceding quarter, the $17.8 million provision reflects a further deterioration in credit quality. The allowance for loan losses now stands at $53 million or 1.6% of total loans. At year end 2007, it was $43.6 million or 1.33% of total loans. A year ago, the ratio stood at 1.08%. Total non-performing loans and delinquent loans as a percentage of growth loans were 2.68% and 3.2% respectively. In the prior quarter, they were 1.66% and 1.37% respectively. Delinquent loans more than doubled to $105.8 million from $45.1 million at the end of 2007. Increase in delinquent loans mostly came from construction loans. The ratio of delinquent loans to total growth loans was 3.2% compared to 1.37% in the prior quarter. Given the soft economy and our rigorous approach to evaluating credit worthiness, this ratio may not decrease in subsequent quarters. In any case, we will be relentless in seeking to identify and address suspect loans and work with borrowers before they become seriously delinquent. The increase in provision for credit losses was accompanied by an increase in non-performing loans and their downward migration on the scale on fixed-rate loans. Including the construction loans totaling $52 million, total net non-performing assets were $88.7 million compared to $54.8 million in the prior quarter. I would like to emphasize that methodology by which we monitor asset quality and evaluate the creditworthiness of loans is unchanged. It remains as conservative as ever. Unfortunately, the market environment is essentially unchanged as well. The economy remains sluggish, there is fairly strong likelihood that you are already in or will soon enter a recession. Accordingly, our outlook, which is a key factor in migration of the loans into this classification, remains exceedingly cautious. In addition to our forgoing focus on asset quality two other areas essentially important. One is the growth in core deposits. As we have noted in the past, we believe that core deposits are essential ingredients in any program to support stable net interest margins. With that in mind, we recently opened our 25th full service branch office located in Beverly Hills. It will be followed by two others, both in Southern California and both expected to be opened before year-end. In addition to growth in core deposits, the other area of special interest is control of our non-interest expense. Brian Cho, our CFO, will address these issues and our financial performance in more details.
Brian E. Cho: I will provide a summary on the financial results of the first quarter. Since our release contains a detailed discussion, I will focus on a few key areas. As Mr. Youk mentioned, our priority this year will be credit quality management, growth of low-cost deposits, and close attention to non-interest expenses. As we planned, in the first three months this year our loan growth was marginal with an increase over $19 million or 0.6% over year-end of 2007. Looking at the asset side of the balance sheet, our concern in the current environment is in more ways enhancing credit worthiness. Put another way, we are far more interested in quality than quantity. As we have stated before, we anticipate that growth in further assets in 2008 will be modest at best. Our attention will be more on deposit side, which increased by $26 million or slightly less than 1% in the first quarter. Our primary focus here is gathering low-cost core deposits. That is, deposits that will fund loan production and enable us to achieve better margins. This takes diligence and it takes time and although we are confident of the outcome, we do not expect to see significant results in the immediate future. In focusing our attention on the liability side, we seek to reduce our loans to deposit ratios and therefore reduce our reliance on borrowing. The ratio of growth loan to deposit was 109% at the first quarter end. And our goal is to lower this ratio below 105% by the end of this year through a combination of moderate quality loan growth and the accumulation of low-cost core deposits. In the meantime, our capital level remains very strong. Our capital indicators continue to exceed the level as we have capitalized within the regulatory guidelines. We believe our operating income level continues to be enough to maintain adequate capital level to ensure the safety and soundness of the bank in this challenging time. Our net interest margin for the first quarter was 3.73%, a 73 basis point decrease from the prior-quarter margin of 4.46%. As you guess, our margin compression was a result of the Fed’s continued rate cut, a negative impact combined with continued pricing competition in our niche market. It was affected as well by an unusually high reversal of the increase, net reduction of $1.2 million caused by the increase over non-accrual loans by $34 million in the first quarter. For the first quarter of 2008, average interest-earning assets were $3.69 billion, essentially unchanged from the prior quarter. The yield, however, dropped by 59 basis points to 7.08%. Absent the $1.2 million interest reversal just mentioned, the yield would be 7.17%, 60 basis points less than the prior quarter’s 7.77%. The average cost of deposits was 4.26% for the quarter, a decrease of 39 basis points from the prior quarter. The average cost of borrowings also decreased by 108 basis points to 4.33% from the prior quarter’s 5.39%. The provision for credit losses was $17.8 million. Net charge-offs were $7.3 million for the first quarter. As Mr. Youk has mentioned, the increase in the provision for credit losses also reflects increase in non-performing loans and delinquent loans. Non-interest income for the first quarter totaled $9.8 million, essentially unchanged from the prior quarter. Now, let’s talk about efficiency ratio. It was 49% in the first quarter, way higher than 44% a year ago. Non-interest expense decreased by $103 million for the first quarter compared to the prior quarter’s $126 million, which includes some goodwill impairment charges of $103 million. Excluding such non-cash goodwill impairment charge, the operating non-interest expenses essentially remained flat. We are now seeing best room for improvement in our operational efficiency and it will be the focal point of our management initiative for the rest of the year. We admit we don’t have much control over some expenses. Yes, the expenses will increase for our intensified credit monitoring procedures and premise expenses also increase when we expand our branch network. However, we also know some expenses were not recurring, isolating the financial turmoil period, such as the goodwill evaluation services. We also expect the marketing related expense will go down with our consolidated growth goal. And the level of our profit sharing budget will be adjusted down in this more difficult market environment. In addition, we already started to review various vendor relationships, including data processing services and expect to realize a meaningful reduction in these areas in the latter part of this year. This is the end of our prepared presentation and now we will open the floor for questions. 
Operator: (Operator Instructions) Your first question comes from James Abbott - FBR.
James Abbott - FBR: Did you mention that you had done some reappraising of your construction loans? I couldn’t understand that quite, if that’s what you mentioned.
Brian E. Cho: For the construction loans, I normally place a new appraisal order when we notice any problems in the construction loan.
James Abbott - FBR: And did you proactively reappraise your portfolio this quarter?
Brian E. Cho: Yes.
James Abbott - FBR: So, the entire construction portfolio has been reappraised then.
Chung Hoon Youk: Not all of them. But, either they place a new appraisal or you can get the market value by using the market data. So that whenever you notice any problems, you normally place a new appraisal. However, other than that, you normally get the market value by using the market data.
James Abbott - FBR: What percentage of your construction, tell us the dollar amount of your construction loans again? And what percentage of those is on non, either 30 days past due or all the way through non-accrual?
Brian E. Cho: We have a total of 53 construction projects with the combined outstanding balance $215 million. Out of our 53 projects, we have five problem loans now and the combined amount is $59 million now.
James Abbott - FBR: So, a little over ten million, $12 million per loan on average.
Brian E. Cho: That’s right.
James Abbott - FBR: And are those your, what are your five largest loans? Could you give us just the dollar amounts and maybe the type?
Chung Hoon Youk: The biggest problem loan is the $28 million, which is the condominium project in northern California. The second biggest one is the $17 million construction project, which is the low-income housing project; it’s the tax credit project. That is in Los Angeles area. The third largest one is the retail shopping mall project, having $6.5 million loan. And the other one is the house building construction project in Portland, Oregon. And the smallest one is the loan in California, about $2 million.
James Abbott - FBR: And those are your largest five loans total or those are the five construction loans that are non-performing?
Chung Hoon Youk: Yes, those five largest construction loans.
James Abbott - FBR: And those are all non-performing at this point?
Chung Hoon Youk: Four loans are non-performing. And one loan is not non-performing and we expect that loan will be come down pretty soon.
James Abbott - FBR: And that’s the low-income housing loan, I assume?
Chung Hoon Youk: No, no, no. That’s the $6.5 million retail shopping center project.
James Abbott - FBR: And what are the five largest loans on the total loan portfolio as a whole?
Chung Hoon Youk: Other than construction projects, we don’t have that big loans, mostly other loans are smaller loans. The balance is mostly under $500,000.
Operator: Your next question comes from Brett Rabatin - FTN Midwest.
Brett Rabatin - FTN Midwest: Wanted to first ask is the exit review with the regulators, has that happened yet? Or are they still there?
Brian E. Cho: They are still here. We are expecting the exit meeting pretty soon and they started examination in the middle of last month. But we expect that our exit meeting will be done pretty soon.
Brett Rabatin - FTN Midwest: It seems like they been there longer than they typically, you typically have a month long review process and they have obviously been there longer than that. Has their extended stay been a focus on the construction loan portfolio or reviewing commercial real estate that you have? Or can you give some color on their still being there?
Chung Hoon Youk: No, that is not the reason. Their major reason to stay longer is because of the shortage of their manpower.
Brett Rabatin - FTN Midwest: I didn’t quite understand the comments on capital. And I know you have, I think its 10.8% total risk based. I’m curious if that’s the number you want to move higher? If so, how do you get there? And was hoping for some additional clarity on your capital levels?
Brian E. Cho: Well, in terms of the regulatory capital guideline, as I said, we are well capitalized. And for leverage ratio and Tier 1 risk-based capital ratio, we maintain significant margin. We’re a well-capitalized institution. And as you just mentioned, for total risk-based capital ratio of the margin we maintain is that in March maybe around 10.5% now? So, around 50 basis point above the minimum requirement. But our operating income level was, of course the last quarter and this quarter, because of the goodwill impairment charge and unusually high loan loss provision, our income level is very low and our ROA is around what, 0.5%, 0.4% around. But, we anticipate a better ROA in the future quarter. We’ll get used to the note provisions, I hope. Of course it all depends on economy status. Yes, and then our operating income is enough to support our operation and our capital level. And especially of course anticipation we have is very conservative now. So any amount left over after dividend will fully support our goals. In that sense, our capital level is [inaudible] now and our operating income is strong enough to support our operation.
Brett Rabatin - FTN Midwest: Deposit funding, I know you have had some promotions and from what I hear, it sounds like the environment has gotten a little less competitive, maybe saw more rationality in the market. Can you talk about, you mentioned I think it sounds like you want to get your loans to deposit ratio a little lower going forward? Can you talk about, Brian, what you might do with your borrowing levels going forward? And just give us some color on where you see the opportunities here in the next quarter with the CD rates now under 4% for the group. And just if the balance sheet shrinks any or, I know you’re focused on expenses.
Brian E. Cho: The competition for deposit is still intense. But it actually lessened a little bit compared to the competition we had last year. But still there is competition very intense in this time. So, we try to rely on deposit campaign and we are going to launch a new promotional product to gather some core deposits like Federal rate we may offer for money market account. And that kind of a promotional strategy will go with our marketing. So we are going to, in our plan, we’re going to increase deposit, maybe double amount of loan growth. Anyway, our growth goal is very conservative so we’re talking about low one digit or low single-digit growth rate. But the deposit growth is going to be a lot higher than loan growth. And so if we proceed our plan as we designed, then we believe we’re going to lower our borrowing line at least $100 million. At the end of the last year, our use of borrowing was about $500 million. It was lowered now around, what, $450 million. I am talking about Federal home loan programs and Federal line purchase. And I believe we’re able to lower this borrowing below $400 million.
Operator: Your next question comes from Erika Penala - Merrill Lynch.
Erika Penala - Merrill Lynch: I wanted to follow up on the $28 million non-performing construction project that was, it was a condo? First, where in northern California is this project?
Chung Hoon Youk: It is in downtown Oakland.
Erika Penala - Merrill Lynch: And what is the difference between the appraisal value at origination and the appraisal value that just came in?
Brian E. Cho: There is around 20% difference from the original appraisal value.
Erika Penala - Merrill Lynch: And how much of this condo is pre-sold currently?
Brian E. Cho: They don’t sell the condo yet because the construction is still in progress. After completion of the condominium they want to put it under market, so they don’t get any pre-selling it.
Erika Penala - Merrill Lynch: So the developer would like to sell it to another developer on the whole? Or you were saying that they didn’t do a pre-sale of the units?
Brian E. Cho: No. We expect the completion of the project in the second quarter. And after completion of the project they have several options, they can sell under market, they can sell through auction or they can make a big discount to sell it right away. So that after completion of the project we and developer will make decision.
Erika Penala - Merrill Lynch: And what was the original LTV of this loan?
Brian E. Cho: The original LTV was around 80% when we first approved the loan.
Erika Penala - Merrill Lynch: And also how much have you already written down this loan to?
Brian E. Cho: Actually we did not the write up any portion of the loan yet because other than this collateral construction project, we have additional collateral for this loan to strengthen our position. And from the collateral of the building there is a sizable equity amount so that based on our new appraisal, we don’t have to write-off any part of our loans yet.
Erika Penala - Merrill Lynch: Is this, this is happened to be your participation?
Brian E. Cho: Yes, we have around $7 million credit participation from other lenders.
Erika Penala - Merrill Lynch: Refocusing on C&I and commercial real estate, you mentioned that trouble in your construction book accounted for the elevated credit metrics in the quarter, but are you seeing some trouble in your commercial real estate or C&I portfolios?
Chung Hoon Youk: For the commercial real estate our position is still strong, you don’t see any weakening sign on our CRD portfolio. However C&I loans that I think that includes all the commercial and the business loans, you have the problem loans in that area and most of the problem loans other than construction loans comes from the C&I loans.
Erika Penala - Merrill Lynch: Following up on another question, if the current economic downturn turned out to be deeper or longer than you are anticipating, if you look at your tangible capital levels, is there a floor in which you say perhaps it’s time to shore up capital with a capital raise or do you think about it in that sense?
Chung Hoon Youk: Well we know now is the time to identify the alternative funding sources including private capital. Yes, of course, we have to prepare contingency plan in every situation. So that’s what we are doing now. So, we try to identify every possible alternatives. That’s what we are doing.
Erika Penala - Merrill Lynch: Have you thought of or would it even work in terms of consolidation among any of the large Korean/American Banks?
Chung Hoon Youk: Well, there are lots of rumors around in town including the acquisition from the Korean Bank from Korea. But we have not seen any concrete demand in any rumor, so still it’s the stage for rumor.
Operator: Your next question comes from Julianna Balicka - KBW.
Julianna Balicka - KBW: Of the $215 million construction portfolio, what is the geographic breakdown?
Chung Hoon Youk: Most of the projects are in Southern California and we have one larger loan in Northern California. But we don’t have any exposure in Inland Empire. The Inland Empire has the most serious real estate problems but you don’t have any exposure in the inland area and you have four out of state construction projects.
Julianna Balicka - KBW: You said that your problem loans are $59 million in construction right? So these are non-performing, right? So of the $106 million delinquent loans, how much of those are construction and how much of those are C&I?
Chung Hoon Youk: As you mentioned out of total $109 million of delinquent loans, construction loan is around $59 million and other that most of the other delinquency loans comes from SBA loans, and international loans, and commercial home loans.
Brian E. Cho: They are small in size.
Chung Hoon Youk: Yes. The average size is pretty small, other than construction loans.
Julianna Balicka - KBW: And are there particular C&I industries that you are keeping a closer eye on maybe tightening underwriting or anything like that, restaurants, and gas stations, whatever?
Chung Hoon Youk: We don’t have any particular industry you are closely watching on, but you have some concentration in the gas station, car wash and hotel/motel business and those are the areas that we are closely be watching now.
Julianna Balicka - KBW: In terms of your reserves, what’s the dollar amount of the qualitative structure in there?
Brian E. Cho: Out of the total loan lost reserve of $53 million, our qualitative reserve is around $8.2 million. The future comes for around 15% of our total loan loss reserve.
Operator: You have a follow-up question from Brett Rabatin – FTN Midwest.
Brett Rabatin - FTN Midwest: Could you also give us color on the SBA, international and C&I portfolios, what the dollar amount of those were? I was just trying to figure out what’s the dollar amount of the SBA, international, and C&I loans for broken out from the SBA. Typically, I think SBA, international last quarter was like $238 million and so I was just hoping to get that number broken out of the C&I portfolio.
Brian E. Cho: I am sorry, I don’t have the number. But our total SBA loan portfolio is $141 million end of March and international loans $102 million. And what else do you want?
Brett Rabatin - FTN Midwest: I was looking for those two pieces out of the C&I portfolio and then also was hoping to hear, is there any land exposure that’s held in the CRE portfolio or domiciled in the CRE portfolio?
Chung Hoon Youk: Yes. We have around the $50 million loans for land development.
Brett Rabatin - FTN Midwest: I was just curious to hear any thoughts on an update for the CEO search. How that was going and if you have anticipated the Board making a decision in the next few months?
Chung Hoon Youk: Yes, the Board of Directors is still conducting search to fill the position and we have been searching for new CEO not just locally, we’re looking both globally and nationally. So, it takes time and I hope that they will conclude the search before the shareholders’ meeting, which is scheduled in late May.
Brett Rabatin - FTN Midwest: Going back to the construction portfolio, are there any large construction projects in Northern California?
Chung Hoon Youk: Just one in Oakland area.
Brett Rabatin - FTN Midwest: There is not one in San Jose?
Chung Hoon Youk: Yes, I am sorry, we have one in San Jose area. But that’s not the problem loan, the performing loan is there.
Operator: You have a follow-up question from James Abbott - FBR.
James Abbott - FBR: So the core margin would have been the add-back is that $1.2 million and that would be about $386 core net interest margin when you exclude the reversal of accrued interest, is that about right?
Brian E. Cho: That’s right.
James Abbott - FBR: Could you give us a sense as to where it was in March on a comparable basis, was the margin substantially below that $386 level on a core basis?
Brian E. Cho: It’s around there because of almost $1 million interest it was made in March and the March margin was around 3.5%, but excluding that $1 million interest income reversal. So margin is going to be around 3.8% to 3.9%, it’s about same margin.
James Abbott - FBR: But your guidance is for the margin to continue to compress in the second quarter?
Brian E. Cho: Yes a little bit ten basis points more or less.
James Abbott - FBR: Ten basis points from the 373?
Brian E. Cho: That’s right.
James Abbott - FBR: Is there any pressure from the regulators on either the growth of loans, have they suggested to you that you slow loan growth down or have they suggested that you improve the loan to deposit ratio?
Brian E. Cho: Liquidity appears one of the main concern to regulators and it is to us in this softer financial market. Although the loan to the value ratio may indicate the level of core funding, and our ratio was what 109% at the end of the first quarter? But the loan deposit ratio alone doesn’t represent the liquidity risk exposure enough. So I may not say the 109% ratio indicate riskier than 100% as long as our liquidity level is well fully monitored and well developed liquidity problem is carefully followed. The fourth is proposed, we are monitoring our liquidity and the level of our borrowings on an ongoing basis. And continuously we measure the reliabilities of our alternative funding sources as I discussed previously and as required by our liquidity plan. And so for our monitoring procedures and our preparation of contingency line and our measurement of alternative funding sources, I think it is pretty well prepared, so I don’t expect any criticism on that.
James Abbott - FBR: So you don’t expect any but you haven’t had any criticism yet either?
Chung Hoon Youk: Yes, there is no surprise for this area. I cannot discuss in detail about this.
Operator: Your last question comes from Don Worthington - Hoefer & Arnett Inc.
Don Worthington - Hoefer & Arnett Inc.: I noticed there was a small gain on sale of securities in the quarter and whether you plan any additional activity of that sort?
Chung Hoon Youk: It always depends on the market situation. So we try to balance our liquidity position and profit maximization. So in the first quarter we like to enjoy some more liquidity and market situation in our decision to gain on sale of all securities is better than additional interest income at the moment. So we stripped the securities coming to sell some of the portfolio about $25 million worth and we enjoy about $600,000 gain on sale of securities. It all depends on market situation in the future quarter, always major between immediate gain or extra interest income.
Don Worthington - Hoefer & Arnett Inc.: And what types of securities were those that you sold?
Chung Hoon Youk: We have various, but mostly AAA US agency sponsored or that kind of very secure and very strong securities. Of course we have some CMOs and MBS, but the underlying securities for those are all US agency sponsored securities, all AAA. So we don’t worry about TTI.
Operator: That concludes the Q&A session for today.
Chung Hoon Youk: In closing, I would like to emphasize that although our core business remains solid; our bottom line performance continues to reflect a challenging macro economic environment, notably a narrowing spread between the yield on loans and the cost of deposit attributable in part to interest rate cuts by the Fed. While our longer-term outlook regarding the business environment in Southern California is optimistic, the near term outlook is still uncertain. It mandates that we remain both proactive and extremely conservative in applying the criteria we use to assess the credit risk. In the coming months credit quality will continue to be our number one focus. Again, we thank you for joining us today and we look forward to speaking with you in another three months. Good bye. Thank you.